Operator: Hello, ladies and gentlemen, welcome to McEwen Mining Q3 2024 Operating and Financial Results Conference Call. Present from the company today are Rob McEwen, Chairman and Chief Owner; William Shaver, Chief Operating Officer; Perry Ing, Chief Financial Officer; Jeff Chan, Vice President, Finance; Stefan Spears, Vice President, Corporate Development; Michael Meding, Vice President and General Manager at McEwen Copper; Carmen Diges, General Counsel and Security [sic]. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] I will now turn today's call over to Rob McEwen, Chief Owner. Please go ahead, sir.
Rob McEwen: Thank you, Operator. Good morning, fellow shareholders and interested investors. You heard who is with me today on the call, and they're available to answer your questions when we move into that period. During the third quarter and the first nine months of this year, we have made significant progress reporting double and triple-digit improvements in key performance metrics. As you can read in our press release, third quarter of 2024, was stellar compared to the third quarter of 2023. Revenue up 36%, gross profit up 268%, adjusted EBITDA up 586%, operating cash flow up at $23 million from a negative $2.3 million back in 2023. Our safety record is also stellar. We are pleased to post our records at Gold Bar 54 months without a lost time accident; at the Fox Complex, 33 months without a lost time; and McEwen Copper Los Azules, an amazing 1.3 million man-hours without a loss time accident. During the quarter, we continued to push our exploration, spending $5.3 million at the Fox and Gold Bar mines, $6.1 million at Los Azules, the McEwen Copper project. And these expenditures, we view as strategic investments and that have successfully extended the life of our mine and they're currently treated as expenses and largely contributed to the net loss we recorded of $2.1 million or $0.04 a share. We will be providing updated resource estimates to be released early next year. For McEwen Copper, we have raised privately over the -- our funds. And over the -- in the last quarter, we closed on $56 million, and that will be used to complete the bankable feasibility study for Los Azules. And we expect the feasibility study to be completed in the first half of next year, and we're also expecting to receive our environmental permit to construct the mine during that same period. Once we have both the feasibility study and the environmental permit in hand, we're planning to IPO McEwen Copper. I think it's worth noting that we have raised privately over $470 million to go towards the development of Los Azules. And based on the last financing that we completed at $30 a share, it gives an implied market value to McEwen Mining of $984 million. I expect this value will soon reach the unicorn status that I predicted several years ago. During the quarter, we made some investments. In Nevada, we completed the acquisition of Timberline Resources. It's -- it has properties -- three properties, about one close to our Gold Bar mine has patented land claims with over 0.5 million ounces outlined on there that we will be using to extend the life of our Gold Bar mine. We are starting to drill on some of the exploration targets we've identified, and that's starting this week, and will continue through the year. At Fox, work is underway, expanding our tailings facility to accommodate increased production from our Fox Complex. And we will be driving a ramp to connect the underground at Stock, going to connect Stock East, Stock Main, and Stock West. In Ontario, we bought a position in a company called Inventus Mining. It has a very interesting Paleoplacer Gold deposits. These deposits are quite common in South Africa and contributed to South Africa's large gold production. It's a shallow deposit. We think it could be easily mined and find it a very interesting property. We also invested $14 million in McEwen Copper, part of the $56 million we raised early this year believing that after BHP and Lundin, their deal of in excess of $4 billion, we looked at our property and said its lower altitude, a larger resource, it's closer to infrastructure, we can see a higher value for our Los Azules property. At this point, I'd like to open the session for questions.
A - Rob McEwen: I can say we have two questions that came in online. Well, two people came in online, each asking two questions. One was how much capital the company is planning to raise for Los Azules? And a related question, the anticipated IPO in 2025, can we provide preliminary details on the expected offering price and size of the offering. I'm sorry to say, we can't say -- provide comments on either of those to be considered premarketing and we haven't completed the feasibility. So we are not -- we don't have a hard number to say how much going to raise. But once we have the feasibility study out, we can answer those questions. The second questions came in and it was outlining what studies have been completed at Los Azules for the feasibility and what are outstanding. And also exploration news, what are we going to be doing on the newly discovered porphyry system that's 3 kilometers away. And I'll ask Mike Meding, our VP and General Manager of Los Azules to answer those questions -- those two questions. Mike?
Michael Meding: Thanks so much, Rob. So our record-breaking drilling campaign last season with 23 rigs at site provides most of the technical data needed for the feasibility study. We plan to drill an additional approximately 7,700 meters this season to complement existing data using rigs operated mainly by local contractors with development of our plant. We're planning nearly 4,000 meters of on a machine drilling using diamond drills in the area designated for future project infrastructure, along with about 1,400 meters of geotechnical sonic drilling, 1,500 meters of geotechnical diamond drilling, and 800 meters of hydrogeological wells to support our study conclusion. In Q3, we updated the mineral resource model, optimized pit resources, and conducted initial reserve calculations with results being likely close to the preliminary economic assessment of the PEA. We also completed hydrological models, process instrumentation diagrams P&ID and initiated third-party reviews for resource modeling, geotechnics, hydrology and metallurgy. Metallurgical recoveries are trending at expected levels with recoveries of around 76%, in line with the prior press release we put out. We've signed a second memorandum of understanding with YPF to ensure feasibility study level of engineering aligns with our feasibility goals. YPF committed to options to provide renewable energy for the project to in solar and hydro sources. Our team conducted benchmark visits in Chile and the U.S. and engaged with major equipment suppliers on electric and autonomous speed options. Now, what are the remaining steps? The remaining steps before the feasibility study include completing the site investigation, as I mentioned before; the final mine design; complete metallurgical variability testing; engineering; logistics; planning; equipment specification; capital and operating cost confirmation; and finally, the write-up of the feasibility study itself, which we already started. We aim to include the Newton upside as potential in the NI 43-101 report. So that's what we have on the schedule going forward. With regards to Tango, depending on funds availability, we have a comprehensive program in place to test the mineralization in Tango. You remember that we discovered a possibly about 3 kilometers east of Los Azules. This will not be included in the feasibility studies on top of what we think is that we have a appropriate system. We have seen volume on surface. We have seen quartz veining. We have seen copper veining. We have seen geophysical anomalies. And we have drilled at the last -- at the end of the last season to relatively shallow that, but we saw 106 meters with about 0.11% of copper. While this is borderline, it shows that the system is mineralized. So we got to build more to the center of where we see the anomaly to confirm the presence of higher grade. That's what we have on top of mind for Tango going forward.
Rob McEwen: Thank you, Mike.
Michael Meding: Sure.
Rob McEwen: Operator, are there other questions?
Operator: [Operator Instructions]. Your first question is from the line of Jake Sekelsky with Alliance Global Partners.
Jake Sekelsky: Hey, Rob, thanks for taking my questions. Hey Rob, just looking at Gold Bar, turned in another strong quarter from a production perspective. I'm just curious, are the higher production levels we saw over the last two quarters, something we should expect to continue heading into 2025?
William Shaver: I may be right answer that question for you. We have increased the amount of material we're moving at Gold Bar, but a lot of that material is actually waste that were moving off of part of the pit that's called Big Three. So it's basically a stripping operation. So although, we are moving more -- significantly more material, the expectation is that production of gold in 2025 will be in line with what we've done this year. So we'll have an equal amount of gold produced in 2025 with more tonnes being mined because of the amount of stripping. And that we're aggressively pursuing a stripping now because of the high gold price.
Jake Sekelsky: Okay. That's helpful. Switching to the Timberline acquisition, Rob, you touched on this a bit. Can you just give us some color on what the permitting process and time line might look like at Eureka? I'm just curious how quickly some of this material could potentially be brought into the Gold Bar mine plan?
Rob McEwen: Sure. I'll ask Stefan Spears to address that question.
Stefan Spears: No problem, Rob. Hi, Jake. So we're looking -- I mean, we're working already on the permitting process. We've got our permit to conduct exploration. And as Rob said in his remarks, exploration has started on part of the property. There's kind of two segments to the property. One area where we have patented mining claims that are not BLM ground. So we're dealing with the state only on permitting there, and that has a kind of a quicker timeline of around two years for permitting. BLM permitting is a slight unknown, but is expected to be longer. And that would affect the Lookout Mountain resource. And so the way the team is looking at it is, it will be permitted in several phases with the earliest possible production projected for around 2027 and then layering on from there.
Jake Sekelsky: Got it. Okay. That's helpful. And then, just lastly at Fox, any color on the development work that's being done and still needs to be done there over the next quarter or so in order to improve stope access?
Rob McEwen: Bill, would you care to address that?
William Shaver: Yes. Well, we are in the final throes of getting our permit to start the ramp excavation to get down into the main ore body at Stock and also into Stock East. At the same time, we are doing some shaft rehabilitation. And this work is being done principally to make sure we have a proper egress from the mine and also to help in the eventual ventilation system for the operation. So I guess we're hoping to have the Stock -- some parts of the Stock operation in operation in kind of Q3, Q4 of next year. And that will overlap nicely with ore coming out of room, so that we don't end up with a gap in between the two operations. And this year, we've had, I would say, a very successful drilling program where we've extended the ore to Stock East and extended ore down as deep 600 meters. So I think the future looks pretty good there. And of course, with today's prices even looks a little bit better. So yes, we're pretty optimistic about what we'll be able to do in -- with our assets in Timmins and we're now working diligently on a plan that gets us kind of around 100,000 ounces per year by 2028. And some of that planning will be fleshed out in our 2025 budget process, which is going to -- which we're working on diligently right now and we'll have before our Board sometime in December.
Jake Sekelsky: Got it. That's all for me. Thanks, again, and congrats on the quarter.
Rob McEwen: Thank you, Jake.
Operator: Your next question is from the line of Joseph Reagor with Roth Capital Partners.
Rob McEwen: Hi, Joe.
Joseph Reagor: Hey, Rob, and team, thanks for taking the questions. I guess, first one, just kind of a follow-up to Jake's question about Gold Bar, but more so about just this year. The current guide, you're almost there already. Should we read into that that Q4 is going to be a low production quarter because there's less ore stacked in Q3? Or is there just no incentive to raise the guide ahead of the quarter? Which way should we read that?
William Shaver: Well, actually, the plan for Q4 was that it was going to be a low production period of time, and that's in part due to some of the stripping we are doing on the Big Three. And so I can't remember exactly what that number is, but it seems to me, it's around for the quarter is around 8,000 ounces for the last quarter is the number I kind of remember, but I think it's between 8,000 and 9,000. And that was always part of the plan. So we're basically on track to meet guidance with the better quarter that we just had and we're working hard to try and make the last quarter a little bit better and we're pushing our fellows to do that. And a few of us are headed down there next week to spend some time trying to figure out how to do that. So yes, I don't think we're going to see a significant change in the overall guidance for the year, so -- but it's kind of steady as she goes.
Joseph Reagor: Okay. Fair enough. And then for Los Azules, post the equity issuance a couple of weeks ago; what's the cash balance roughly right now in the subsidiary?
Rob McEwen: Jeff, do you want?
Jeff Chan: Sure. Let me just pull that up, but it would just be north of $40 million at the moment.
Rob McEwen: You get that, Joe?
Joseph Reagor: Yes. All right. And then, one final thing, as you guys work towards adding in the Timberline acquisition to Gold Bar, will you guys be trading it as a separate mine? Or you guys be trading it as kind of like a separate pit, but still all through Gold Bar from like an accounting standpoint?
Rob McEwen: From an accounting standpoint of the unitized under Gold Bar. Most likely, yes.
William Shaver: And that's in part because operationally -- eventually, we may have a leach pad at Timberline but the final finished product, the Gold Bar, will be still produced at Gold Bar. So we'll transport carbon back to Gold Bar and then remove the gold.
Joseph Reagor: Okay. That's helpful. All right. I'll turn it over. Thanks, guys.
Rob McEwen: Thank you.
Operator: Your next question is from the line of Heiko Ihle with H.C. Wainwright.
Rob McEwen: Hello, Heiko.
Heiko Ihle: Hey, Rob, how are you?
Rob McEwen: Excellent. Thank you.
Heiko Ihle: Hey, you had somewhat lower-than-expected grades at San Jose. Can you just provide a bit of color on what happened? I assume the mine plan is still intact, and also, most importantly, probably what you've seen in Q4 thus far? And then, building on all of that, how should we think of our longer-term estimates to the site? I assume that this is more of a one-time thing, right?
Rob McEwen: Yes. Perry will answer that question.
Perry Ing: Good morning, Heiko. Thanks for your question. So yes, we have regular dialogue with the team from Hochschild and management at San Jose. Advised that the lower grades were temporary. Again, mostly reconciliation versus resource model, but that seems to have been rectified in October or by October. So Q4 is trending well so far, and we believe the operation is on track to meet guidance. Overall, I think they're quite bullish on San Jose as an operation. Obviously, silver prices having ticked up over the past quarter has helped significantly. And there has been some modest exploration success, should continue to extend mine life.
Heiko Ihle: Fair enough. And then, something completely different, and frankly, I'm actually shocked that this hasn't come up yet. It's a bit more philosophical. I mean, you're based in Canada; you operate Gold Bar in Nevada. Obviously, big news out of the state today. We're going to get a new President in January. I wanted to see if you have internally thought of the impact of all of that positive or negative from the election results from last night. Even just like minor things, whatever cash moving across borders, staff travel, that kind of stuff.
Rob McEwen: Well, McEwen Mining is a Colorado incorporated company. Gold Bar is in Nevada, and President-elect Trump has said that he wants to encourage the development of resources in the country. And I think it can only be positive, who wants to streamline the regulations and create more employment in the country, so.
Heiko Ihle: And he is pro-mining obviously.
Rob McEwen: Yes. So I think that's good for Gold Bar and our other properties there.
Heiko Ihle: Fair enough. I figured you say something along those lines, but you don't have any little like internal checklist of things that you're focusing on?
Rob McEwen: It's too early at this point. The outcome of the election was up in the air, and when we just thought we'd let the dust settle before trying to look at that.
Heiko Ihle: Fair enough. I appreciate it. Thank you very much.
Rob McEwen: Thank you, Heiko.
Operator: [Operator Instructions]. Your next question is from the line of Chris White with TELUS Ventures.
Rob McEwen: Hello, Chris.
Chris White: Good morning, Rob and team. Congratulations on the sales price of $2,499 an ounce. That's great. I got two quick questions. I think they might be for Bill, but you let me know. So with you in the release, I'm struggling with -- on Slide 28 of the corporate deck, it said that our all-in sustained costs were going to be going down to like $1,650 to $1,750 at Gold Bar. But the press release that Gold Bar's actuals was $1,822 and then same thing at Fox. The Slide 28 says $1,450 to $1,550 for Fox, but the actual was $1,953 or $400 to $500 more than Slide 28 suggested. Could you maybe provide more details here for all of us on the line? And maybe answer also, what would it take to get under $1,500 in Q4? Is that even possible?
William Shaver: Do you want to answer part of that, Jeff? Or, yes, I would say the chances of us getting under $1,500 is probably very low. In the case of Gold Bar, it's in part because we're on a very aggressive stripping program right now to take advantage of the high gold price to do stripping at Big Three. Big Three is a lower -- a little bit lower grade than the average at Gold Bar -- and at these prices is very valuable ore. But if the price of gold, say, fell back to $1,500, that material might not even be ore. So we're -- in part, we may be seeing some higher, I guess, cost per ounce numbers, but those are based on doing proper work in order to put us in a better position for next year.
Chris White: Sure. So just in clarifying the Slide 28 in your corporate deck, you guys are going after different parts of the mine than you -- what all-in sustained cost of $1,650 and $1,750 was reflecting. Is that right because the price of gold is higher?
William Shaver: That's right. And also, I mean, the stripping that we're doing now is going to expose ore for next year.
Chris White: Got it. Any comment on Fox? Why Fox came in so high?
William Shaver: Well, Fox is primarily high because of the lower -- the low production in Q3. That's basically it has to do with the deviser. And it also, I guess is some of it is attributed to all of the money we're spending at this point on getting Stock going as well.
Chris White: And that wasn't factored in on the Slide 28 piece? Like what's the delta between what you guys have in the corporate deck and what actually happened in Q3?
Jeff Chan: So this is Jeff Chan here. Just to speak to Slide 28 on this deck, I think we need to keep in mind that the guidance figures here are provided on an annual basis. And so just speaking to Gold Bar specifically, we still do expect to meet or exceed -- by exceed I mean, come in below our cost guidance on an annual basis. I think as Bill mentioned in his earlier remarks, given the planned declining production of Gold Bar quarter-over-quarter, it would be natural to see increasing quarterly unit costs go up. But on an annual basis, I would expect to still come in again, within or below cost guidance. At Fox, it's exactly as Bill mentioned, due to the lower than planned production and the production that, that we've advised the market, we are expecting higher-than-expected unit costs in our guidance. Looking at our financial base, it's not a result of overspend. I think on a total basis, we're expecting to be within exactly our planned spend, but it is a production issue.
Rob McEwen: And at Fox, there was an unexpected failure of one of the stopes that affected a larger area underground, and that reduced our production. And as Bill said, when we reduce the production, the cost per ounce goes up.
Chris White: That's very helpful.
William Shaver: And also remember that the Froome mine is kind of in its last year of mine life and so there is -- that's always a bit more challenging, I would say, but we're handling that well.
Chris White: That's helpful. So it sounds like then if we were to put a bow on this answer, you guys are sticking with the estimates on Slide 28 and that Q3 was just an outlier. Is that a fair articulation? Maybe Jeff --
William Shaver: I'd say, I guess, just to maybe add some caution there. I would expect that what we're going to see is a slightly higher cost per ounce at Fox. And it will depend on exactly what the production is in the last quarter.
Chris White: Got it. So then my last question here, just kind of springboards or springboards, Rob, off what you said in the release, it says 15% to 20% fewer ounces compared to the annual guidance on Fox for the reason that you highlighted. If that hadn't happened, wouldn't we be looking at potentially a breakeven quarter? And I guess if that's correct, how do we make sure that this type of thing doesn't happen again? Because, boy, the Stock would be ripping if you guys could just be breaking even. I don't know in my interpreting that correctly, that's what's stopping us from being breakeven? And then the question of how do we make sure this doesn't happen again? Any comments there?
Perry Ing: Correct, Chris, and this is Perry, the CFO. So definitely, had we produced a bit more ounces, we would have had a positive quarter. And as well, as Rob mentioned, going back to Los Azules, once we finish the feasibility study and have our permits in hand, we can actually capitalize our exploration costs that McEwen Copper is incurring. So if you look at our year-to-date spend, our year-to-date proportional loss, it was $36 million -- $37 million. That, that would have been nullified as a loss, and we would had be quite profitable for the year and for the quarter, so.
William Shaver: We're looking $34 million.
Perry Ing: Yes.
Chris White: So when -- what quarter do you think that, that comes together? I mean I asked this, I've been on the right with you, Rob, 2016 that I've been an investor, not a speculator, and it's been rough. And so I'm ready for it to come. It'd be interesting to -- yes, I can imagine for you. When do you think that quarter, Perry when the --
Perry Ing: Feasibility will be in the first half of next year. And I guess, the feasibility, as Michael talked about is well underway. The timelines for that are fairly definite. The permits, obviously, we're subject to the timelines from the appropriate ministries in Argentina.
Chris White: Great. So first half of 2025, we should be printing positive quarters. Fair?
Rob McEwen: Well, we'll have the feasibility. We expect to have the permit and we have to get the IPO out. We don't need to have the IPO? All right. So at the end of the first half, we should be moving into positive grounds assuming we don't buy something else.
Chris White: Great. That could be good. All right. Thank you, guys.
Rob McEwen: Yes. Thank you, Chris. Thank you for your loyalty.
Operator: Your next question is from the line of John [indiscernible]
Unidentified Analyst: Hi, I have two questions. The first, I've been an individual investor for over 12 years now having over 40,000 shares. When people ask me why I invested in the company? I told them, I said, the company is really unique. You founded and were Chairman of the Gold Corp. And then you started this company, you have a large stake in it, and plus originally, you had no debt. So I said, it's one of a kind. The thing that puzzles me though is that back in the day, like about 12 years ago, the stock was -- or at least peaked substantially higher. Now from what I can see, the company is in much, much better shape now. You finish that road for the copper. And you mentioned that the copper, if I understood you correctly, is worth more than the Stock price, not even counting the gold and silver. So what puzzles me is nothing to do with you, but why the market isn't reflecting this to a much larger degree, where you would estimate the stock should be in the 20s or 30s. And then my second comment, I heard what you said about Trump, but -- just today, the gold is down about $80 a share, almost and the silver $1.50. And I was wondering, if it's a positive reflection, at least with the Colorado, Nevada or in the Nevada mine, why do you think it dropped so substantially? Thank you.
Rob McEwen: Thank you, John. Okay. Let's deal with the first question about why are we not higher? And I agree, we are in better shape than we were back then. We have production coming from a number of areas. Unfortunately, there was a period of three years to four years, 2018 to 2022, where our operations were not delivering on guidance; they missed it by a wide margin. And as a result, our revenue was low. And I think people looked at our copper projects and said, how are you going to finance that? This is a big project, and it's going to be very cash hungry. So we separated the copper and said, let's raise the money privately there rather than diluting McEwen Mining to raise the fund. And we've had the benefit of our operations, our precious metal operations coming back on stream and performing much better. There's still, I think, an issue of consistency in the production across all of the operations is one is up, the other one is down, and that's being addressed, and we see room to expand our production considerably, so over the next three years to four years, true organic growth. So we're looking at a bigger price. When we do our own internal estimates of value, it's sort of the sum of the parts. We have the copper holdings. We have a portfolio five royalties, none of them producing at the moment, but the largest one is on Los Azules, 1.25%, and based on the preliminary economic assessment, production forecast, that would generate over a 27-year life better than $400 million. And then we get down into the gold shares, and when you compare it to a peer group, we're trading at a large discount at the moment. And these results and what we can see going forward should start addressing concerns about the life of these assets and the cost of them. So I think it's a timing issue that will resolve itself as we move forward, but it's been a painful process. With respect to Trump and the gold price, I was looking at it as -- bitcoin was up and gold was down, and I'm saying, that's odd. I suppose the markets saying they don't expect the Trump government to be spending, meaning is profligate, a spender as would the Harris government, and that's a stronger -- resulting in a stronger dollar or a perception of a stronger dollar. And you saw it wasn't only gold, it was silver. It was a number of the base metals. The only one that wasn't down at one point this morning was lead, and that's probably because of the wars going on.
Unidentified Analyst: Can I just ask one other thing?
Rob McEwen: Yes.
Unidentified Analyst: The institutional investors that has grown over the years, right?
Rob McEwen: It has been. We have good volume. We trade average daily volume, about 500 to 1,000 shares on New York. So good liquidity. And with an improving balance sheet and operational performance, I think we'll win the attention of more institutions and retail investors.
Unidentified Analyst: And I'm 68. I know you're 74. How much longer do you think -- I'm retired. How much longer do you think you're going to go with this?
Rob McEwen: Let me share a story. A number of years ago, I was meeting with an executive coach. And his first question was, how long -- asked me how long I was going to live? And I said, well, ever since I've been about 20, I figured, I'd live to 100. And he said, well, tell me what you think you're going to be like when you're 99? And I said, well, I'd like to have a clear head and be mobile. He said, well, all right, if you like that at 99, you think you're going to die at 100. I said, no. My wife and I have put a lot of money into regenerative medicine and research. And what I've seen there is life expands are going to extend and make. So I said. He said, well, how long are you going to live? And I said 120. And he said, okay, the timeline was 60. He said, if you're going to move to 120, you have your whole life in front of you again. What are you going to do with this? And I said, well, what could I do with that? And he said, well, you could do 10x what you've already done. Like 10x more love, 10x more travel, 10x more philanthropy, 10x more wealth, and he said all of the above. And I said, well, that sounds pretty good. You have -- and I said, you have 240 quarters in front of you. So you can lay out a plan. So I'm in no rush. I think we have in McEwen Copper, the Los Azules property, I believe, has the potential to be much bigger than Goldcorp ever was. It is -- if you look at it and put it on a gold equivalent, it's bigger than a 60 million ounce gold deposit, and on the projected cost to be coming in at just over $600 cash, all-in under $1,000, 27-year life and producing gold equivalent better than 600,000 ounces a year. In my book, that's an extremely big gold deposit. It's almost equal to all the gold that's been produced in the last 100 years out of the Timmins district, the most prolific mining area -- one of the most prolific gold areas in Canada. So I think there's a lot of room. There's -- we've got copper is in large demand. You look at the deficits that are being projected for a number of reasons, the electrification of energy, the extremely high use of electricity by big data farms and servers and then the growth of the world's population and the use of copper in the infrastructure. So there's that, and gold, I think we've got the right mix of assets. Gold is -- to me that's always been that's money. And our governments are good at debasing fee at currency. And so gold is in my mind, heading higher despite this little drop today. When you have $36 trillion in national debt, the service costs on that are high. And America is not alone. I look to Canada, I look to Europe, I look to China, everybody has printed a lot of money, and they've taken on a lot of debt, and at one point, have to pay back the debt. And gold is a one of those hard assets you want to have in your pocket because it doesn't appreciate like be it currency.
Unidentified Analyst: I agree with you on the potential life expectancy. Yes.
Rob McEwen: Good.
Unidentified Analyst: Well, thank you very much for sharing all that. I really appreciate it. And someday, I'm going to come in Hershey, Pennsylvania, someday I come with Toronto and meet all of you. Thank you.
Rob McEwen: Maybe we'll get down and see you down in Hershey.
Unidentified Analyst: Okay. That would be great. Thank you.
Rob McEwen: Yes, fine.
Unidentified Analyst: Bye.
Operator: Your next question is from the line of Mike Kozak with Cantor Fitzgerald.
Rob McEwen: Hello, Mike.
Mike Kozak: Yes. Good morning. Good morning, Rob and team. Congrats on the solid quarter. I joined the call a little bit late. So if any of this was already mentioned, I apologize, but one question. I've had at the back of my mind in the last couple of months. Just with what silver prices have done over the last few months, kind of catching up with gold strength and notwithstanding the one-day move down today. But in the current silver price environment, and both McEwen Mining and McEwen Copper are looking increasingly more focused on Los Azules. Would you -- would McEwen Mining potentially look at monetizing either the Project Phoenix or your interest in the San Jose mine.
Rob McEwen: At the right price, sure.
Mike Kozak: Okay.
Rob McEwen: At the right price. I mean, there has been rumor that Hochschild thinking of possibly selling San Jose, and we've been approached by one potential buyer that asked if we'd be amenable to thinking about selling. Nothing concrete on that.
Mike Kozak: Okay. I did hear something a rumor to that effect. That's why I was just asking this question. But okay, that's all I had. Thanks.
Rob McEwen: All right. Thank you, Mike.
Operator: At this time, there are no further questions. I will now hand the call back over to Rob McEwen for any closing remarks.
Rob McEwen: Okay. Before we close off, Perry just wanted to make comments on....
Perry Ing: Yes. Well, we did receive an e-mail from Harry Flinter [ph] just regarding Page 4 of our news release. So we can confirm that there is a typo on one of the columns on the gross margin percentage. So we'll update that on our website version, but the correct percentage should be 17.6% rather than 35.1% gross margin at the San Jose mine in the third quarter. Thank you, Rob.
Rob McEwen: Thank you. Well, thank you, everyone, for joining the call today. I hope you share the same thoughts that this was a great quarter. And what we want to do, our goal is to keep repeating these. So thank you and successful investing.
Operator: This concludes today's call. Thank you for joining. You may now disconnect.